Operator: Good day and welcome to the Host Hotels and Resorts, Incorporated second quarter 2009 earnings conference call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to the Executive Vice-President, Mr. Greg Larson. Please go ahead, sir.
Gregory J. Larson: Thank you. Welcome to the Host Hotels and Resorts second quarter earnings call. Before we begin, I'd like to remind everyone that many of the comments made today are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. Additionally, on today's call we will discuss certain non-GAAP financial information such as FFO, adjusted EBITDA and comparable hotel results. You can find this information together with reconciliations to the most directly comparable GAAP information in today's earnings press release, in our 8-K filed with the SEC and on our website at hosthotels.com. This morning, Ed Walter, our President and Chief Executive Officer will provide a brief overview of our second quarter results and then we'll describe the current operating environment as well as the company's outlook for the remainder of 2009. Larry Harvey, our Chief Financial Officer, will then provide greater detail on our second quarter results including regional and market performance. Following their remarks, we will be available to respond to your questions. And, now, here's Ed.
W. Edward Walter: Thanks, Greg. Good morning everyone. As will be evident in the numbers I'm about to discuss, it is clear that we continue to face a very challenging operating environment for the lodging industry. Despite the negative impact the economy has had on our business, we are pleased that we were able to accomplish several significant transactions this quarter that strengthen our position as we continue through this cycle. And we are seeing a few subtle signs that market conditions are stabilizing. But before I get to that, let me first talk about our results for the quarter. Our comparable hotel RevPAR for the second quarter decreased 24.9%, as a result of a 14.6% decrease in average rates and a decline in occupancy of 9.1 percentage points. Now, our average rate was $175 and our average occupancy was 67%. Food and beverage revenues decreased 25.4% for the quarter and comparable hotel adjusted operating profit margins decreased 560 basis points. Adjusted EBITDA was $256 million. Our FFO per diluted share was $0.12 for the quarter, which included a reduction of $0.15 per share due to non-cash impairment and other charges. Excluding these charges, our FFO per diluted share exceeded the consensus estimate by $0.03. On a year-to-date basis, comparable RevPAR decreased 22.7% and margins declined 500 basis points. Year-to-date adjusted EBITDA was $430 million. Year-to-date FFO per diluted share was $0.22, including a reduction of $0.24 a share primarily due to year-to-date non-cash impairment and interest charges. In general, if you look at how the quarter played out compared to what we expected, occupancy was slightly better than we had anticipated, the decline in average rates was worse than we hoped, which lead to a larger RevPAR decline than we had projected. For the quarter, overall flow-through was better than we would have projected, which resulted in EDITDA that was in line with our expectations. Focusing first on the drivers behind our RevPAR decline, the ongoing deep recession in the economy which caused group cancellations and corporate travel cutbacks continue to undermine hotel demand and leading to reduced occupancy levels. As operators sought to replace cancelled corporate business and faced significant rate discounting pressures, average rates fell across all segments of our business. The result was a significant decline in average rate and occupancy for the quarter. The impact of these declines fell quite unevenly across our customer segments. On the transient side, these challenges manifested in reduced rates. While corporate, special corporate and premium priced business continued to deteriorate as room nights fell by 20%, much of this decline was offset by an increase of almost 10% in our discount segment, leading to a transient occupancy decline of just 5%. However, the combination of rate cuts across all channels combined with the shift in business to lower price segments resulted in average rate decline of 20%, and an overall decline of 24% for transient revenue. On the group sides, the mirror image of these results occurred. Second quarter was heavily impacted by the wave of cancellations that hit the industry beginning last fall. And by continued attrition as the events that were held despite relatively robust bookings in the quarter for the quarter, group nights fell 21% compared to the prior year. Because the bulk of the activity that did occur was booked prior to this year at better rates, our average group rates were only down 6.5% for the quarter, leading to group revenues that were off by 26% for the quarter. Obviously these trends, especially as they relate to rate reductions are concerning. The weakness in rate is not likely to abate until demand recovers, which will likely require the economy to stop shrinking and start expanding. 0However, we have seen some progress in slowing the negative trends we experienced since the beginning of the year. While the group cancellation rate for the quarter was still above our normal average, it represented less than half the rate we experienced in Q4 of 2008 and the first quarter of 2009. In addition, this cancellation rate improved meaningfully through the quarter, suggesting this issue may present less of a problem going forward. While our booking pace fell short of the prior year's level, booking pace in the second quarter was significantly better than our first quarter results, and the pace improved as we worked our way through the quarter. Finally, our rate of decline in occupancy moderated each period in the quarter. And for the first time this year, our decline in RevPAR for period seven was less than what we experienced in the prior periods. None of these facts suggest the decline is over, but they do suggest that the rate of decline is decelerating. Our most important activities during the quarter involved our $500 million common equity offering and our $400 million senior notes issuance. While Larry will go into more detail regarding our overall balance sheet in a few minutes, these two transactions, when combined with our other financing activities, provide sufficient capital to address our anticipated debt majorities through 2011 and add significant strength to our balance sheet. We are now in a great position to both overcome the challenges of our operating environment, as well as to prepare to take advantage of the opportunities we expect will develop. On the investment front, there are a few signs of an evolving market. There have been a few highly publicized asset givebacks that are being worked out. And the lending industry is beginning to come to grips with the challenges that we'll be facing. As of yet, there is little on the market that we find tempting, but we continue to monitor activities and we expect to see deal flow improve later this year and in 2010, as the combination of looming debt majorities and depressed operating results create more motivated sellers or inadvertent owners. We intend to be opportunistic as market conditions further evolve and are optimistic about the future prospects in this arena. As we mentioned on previous calls, our level of capital spending has declined in 2009. This quarter, capital expenditures totaled $84 million, which was 48% lower than the second quarter of 2008. These expenditures include return on investment and repositioning projects totaling approximately $47 million. Year-to-date capital expenditures totaled $192 million, including $101 million of return on investment and repositioning projects. For the year, we expect our capital spending to be between $340 million and $360 million. On the asset sale front, we are pleased to announce the sale of three non-core properties comprised of over 1,100 rooms including the Washington-Dulles Marriott Suites, the Sheraton Stamford, and the Boston Marriott Newton for total proceeds of $64 million. All three hotels represent non-core properties with less obvious growth prospect to carry through the remainder of our portfolio and in some cases with significant capital needs. We are pleased to have completed these asset sales given their favorable effect on our liquidity position. Given the challenging pricing environment, with the exception of one additional $25 million to $30 million sale that we anticipate completing in the near term, we would suggest you not include any additional dispositions for the remainder of the year. For the year we have completed four assets sales totaling $177 million in proceeds. Now let me spend some time on our outlook for the remainder of 2009. In considering our full year forecast, we continue to caution you that our visibility is very limited, especially given the weakness in average rate and the extremely short booking cycle. Assuming that demand stabilizes the current levels for the remainder of the year but we continue to see pressure on average rates, we would anticipate the full year comparable hotel RevPAR decline would range between 20% and 23%. The reduction in our full year RevPAR forecast is tied to the weakness in rate we experienced in Q2 and our expectation that this trend will continue through the remainder of the year. Since our margin comps become more difficult as we move into the second half of the year, at these RevPAR levels, we would expect our full year comparable adjusted margin decline to range between 600 and 650 basis points, leading to a projected EBITDA range of $750 million to $800 million. This will translate into FFO per share of $0.43 to $0.50 for the full year, which includes $0.25 per share primarily related to non-cash charges for impairments and non-cash interest expense. With respect to our dividends, we expect to declare in September a common dividend of approximately $0.23 to $0.25 a share, which will be paid late in the fourth quarter. In order to conserve cash, we intend to take advantage of the IRS ruling which allows us to pay up to 90% of the dividend in the form of newly issued stock. As a result, our common dividend will be comprised of a maximum cap distribution of $0.03 per share with the remainder paid in stock. Given our perspective on the business, our operating strategy for the next several months remains consistent with our prior description. At the property level, we have stressed realistic revenue forecasting and aggressive expense reduction in an effort to maximize our EBITDA and property cash flow. At the corporate level, we have been intensely focused on strengthening our liquidity and proactively addressing any debt maturities. While the current environment is challenging, the longer term fundamentals of our business are improving. Supply growth is moderating, especially after 2010, and will likely remain at historically low levels for several years setting the stage for solid RevPAR growth once demand recovers. The current distressed operating environment should ultimately result in acquisition opportunities that meet our pricing and quality requirements which will accelerate our future FFO growth. We are working hard to prepare to execute efficiently and intelligently as the market for acquisitions improves. Thank you. And now let me turn the call over to Larry Harvey, our Chief Financial Officer, who will discuss our operating and financial performance in more detail.
Larry K. Harvey: Thank you, Ed. Let me start by giving you some detail on our comparable hotel RevPAR results. Looking at the portfolio based on property types, our urban hotels performed the best during the second quarter with a RevPAR decline of 23.7%. RevPAR for our airport hotels decreased 25.2%. And RevPAR for our suburban hotels fell 26.5%, while RevPAR at our resort conference hotels declined 27.2%. Turning to our regional results, as expected, the D.C. Metro region continued to outperform other markets with a RevPAR decline of 10.3%. Our downtown properties performed well due to strong government and government-related demand, as well as solid leisure business. We expect the D.C. Metro region to continue to outperform in the third quarter. RevPAR fell 20% for our Central region. The New Orleans Marriott had a RevPAR decline of just 9% due to higher levels of business and leisure transient relative to other markets. RevPAR for the San Antonio market declined 21.4%, driven by a reduction in citywide room nights, group cancellations due to swine flu and lower transient room rates. We expect the New Orleans and San Antonio markets to perform better than the overall portfolio in the third quarter due to relatively strong booking pace and rate. Overall RevPAR growth for our Pacific region fell 25% for the quarter, however results varied by market. RevPAR for the San Francisco market declined 23.7% as corporate transient business fell and lower rates affected both business and leisure transients. RevPAR for our Hawaiian properties decreased 28.3% because of lower airline capacity, which led to lower leisure transient and group demand. Our properties continue to utilize promotions at lower price points in order to increase transient demand. RevPAR for our Seattle hotels was down 20.3% due to weaker transient business from layoffs at Microsoft, Boeing and others. For the third quarter, we expect the Hawaiian market to outperform this portfolio due to easier comparisons. We expect the San Francisco market will be negatively affected by very strong transient demand and citywides in the third quarter of 2008. Seattle will be affected by lower levels of group and transient business. RevPAR for the mid-Atlantic region decreased 27.4%, as our New York properties experienced a RevPAR decline of 30.4% with significant declines primarily in rates. While group demand declined, transient demand was strong, but at a lower price point. While international demand did not reach the record levels of the second quarter of 2008, it was still very solid. We expect New York City to continue to struggle in the third quarter, with difficult comparisons to a very strong third quarter in 2008. The Philadelphia market did well, with a RevPAR decrease of 13.2% driven by lower group and transient rates and flat occupancy. We expect the Philadelphia market to continue to outperform in the third quarter due to relatively better group and transient demand. As we anticipated, the New England region had another rough quarter, as RevPAR declined 28.7%. The New England region and Boston in particular had a very strong first half of 2008, due to strong group bookings and citywides. Conversely, in the second quarter of this year, the Boston market had approximately 37% less group room nights versus 2008, and we had two hotels under renovation. We expect the New England region to perform better in the third quarter due to growth in citywide room nights compared to last year. As expected the Florida region underperformed in the second quarter, with a RevPAR decline of 28.8%. Our Tampa properties benefited from stronger transient business, while the rest of the region struggled with lower transient and group demand as well as rate deterioration. We continue to see resistance from groups to book at luxury hotels and resort destination, as RevPAR at all three of our Ritz-Carltons in the Florida region declined between 30% and 39%. We expect the Florida region to continue to struggle in the third quarter. International region which includes our four Canadian hotels, two hotels in Chili and one in Mexico City, performed relatively well despite the strength of the U.S. dollar. Using constant U.S. dollars, RevPAR declined 20.5%. The swine flu did significantly impact the results of the JW Marriott Mexico City. Year-to-date, the D.C. metro region has been our best region, with a RevPAR decline of 1.9% followed by the South central region with a RevPAR decrease of 18%. New England region, with a RevPAR decline of 29.4% and the international region with a RevPAR decline of 32.3% have been our worst performers. However, using constant U.S. dollars, RevPAR only declined 14.3% for the international region. For our European joint venture, RevPAR calculated in constant euros decreased 24% for the quarter. Due to overall weak demand, the majority of the properties experienced considerable decreases in both occupancy and rates. On a relative basis, the Westin Palace Milan and the Westin Europa & Regina in Venice outperformed the rest of the portfolio, while a renovation continued to the underperformance of the Crowne Plaza Amsterdam. On a year-to-date basis RevPAR calculated in constant euros fell 30.1%. For the quarter, adjusted operating profit margins for our comp hotels declined just 560 basis points, which is very strong performance given the nearly 25% RevPAR decline. We have been very successful in working with our operators to contain the margin deterioration. Our managers continue to actively cut discretionary spending and have been very proactive in implementing new cost saving measures. Profit flow-through in the rooms department was higher than anticipated, due to the implementation of cost containment measures that drove reductions in controllable expenses and a significant improvement in productivity. Food and beverage flow-through was quite good due to reductions in food and beverage costs, as a percentage of revenues, and improvements in productivity, despite the fact that the revenue decline was driven by the loss of higher margin banquet and audio-visual revenues. Overall, wages and benefits decreased 13.9% and unallocated costs declined by 14.4% for the quarter, as hotels reduced the management headcount and significantly lowered other controllable cost. Utility costs decreased 13.6% through a combination of lower usage, lower rates and the impact of energy saving capital improvements. For the quarter, real estate taxes increased by 5.8%, while property insurance costs decreased 7%. Year-to-date, our comparable adjusted operating profit margins declined 500 basis points. Looking out to the rest of the year, we think the margins will decline more than we experienced in the first half of the year, as the RevPAR decline will be more weighted to declines in average rate and changes in the business mix, as well as lower food and beverage margins due to further declines in high profit banquet and audio-visual business. In addition, we expect an increase in hourly wage rates and in property insurance costs, as insurance rates have started to increase. Comparisons will also become less favorable as we move into the second half of the year, as the implementation of contingency plans increased throughout the year of 2008 and in particular with high levels in the fourth quarter. As a result, we expect comparable hotels adjusted profit margins to decrease in the range of 600 to 650 basis points for full year 2009. We have further strengthened our balance sheet and significantly enhanced our liquidity. After taking into consideration our $480 million equity offering, our $380 million bond offering and secured debt and asset sale proceeds, we raised nearly $1.1 billion in the first half of the year. We finished the quarter with over $1.3 billion of cash and cash equivalents and $600 million of capacity on our credit facility. Subsequent to the end of the quarter, we repaid the $175 million mortgage loan on the San Diego Marina Marriott and received $64 million from the asset sales that Ed previous discussed. We currently have $1.2 billion in cash. We are continuing to work with the lender on a new $175 million mortgage loan on the San Diego Marriott; however, it is possible that we may not be able to negotiate acceptable terms and the loan will not close. With our substantial cash balance and access to capital, we are very comfortable with our liquidity position whether or not the loan closes. Our sole remaining debt maturity in 2009 is $135 million loan on the Westin Kierland, which we will repay with available cash. We continue to maintain higher than historical cash levels because of the uncertainty in the credit markets and we will continue to do so until the credit markets stabilize and the timing of economic recovery is more clear. During the second quarter, we recorded $91 million of impairment charges on assets. Approximately $57 million of the impairment charges were for two hotels, one of which went under contract to sell subsequent to the end of the quarter. The other hotel is located in a market that has significantly been impacted by the recession, severely affecting our outlook for both short-term and long-term demand. While we are still analyzing options available to us to maximize value, we currently think the best strategy will involve a sale of the hotel, in the short to medium term. As a result, since we do not expect the sales price to meet or exceed our current investment, we have recorded an impairment charge to write down the asset to its fair value. These impairments were recorded as additional depreciation expense on our statement of operations and a reduction in property and equipment on the balance sheet. In addition to the impairment charges on those two assets, we recorded a $34 million charge on our European joint venture investment. The fair value of joint ventures and partnerships has to be reviewed in relation to their book value. As a result, the reduction in cash flow for the European joint ventures assets and the resulting decline in fair value to below our book value requires us to record an impairment charge on our investment. This impairment has been recorded as a loss of equity in affiliates on a statement of operations and a reduction in investment in affiliates on the balance sheet. This completes our prepared remarks. We are now interested in answering any questions you may have.
Operator: (Operator Instructions). Your first question comes from David Katz – Oppenheimer.
David Katz – Oppenheimer & Co.: So I wanted to just go back to the – I guess one of the issues we're trying to figure out is on the cost cutting side. We've gone through the first portion of this year and sort of executed on some strategies to cut costs, and to the degree that we can look at next year and ask ourselves the question do we get to next year with a sort of more meaningful run rate or a more sort of a set cost base going into next year, irrespective of whatever happens to RevPAR? Or are you still, do you think, in the middle innings of cost cutting and there's more to do that you'll execute on for the back half of this year also. And I know you've touched on some of these issues but I think you may see where I'm headed with this.
W. Edward Walter: I think reality is is that the cost cutting efforts went into high speed about this time last year as RevPAR went negative. We started in 2008 and I think most folks in the industry even in their fourth quarter 2007 conference call, talked about the fact that they were implementing cost cutting initiatives across their portfolios. But the reality is is in the first half of last year, the occupancy decline was relatively modest, RevPAR was still positive, and you didn't have the reductions in business levels that permitted you to really implement widespread cost saving initiatives. Obviously as we worked our way through the third quarter and certainly into the fourth quarter of last year, we started to see the occupancy declines and consequently the cost cutting initiatives became more severe. That effort continued through the first half of this year as is contemplated by our margin guidance. While we still expect to be able to continue to cut costs and I would overall say that the flow-through that we're anticipating for the second half of the year is still pretty good given the RevPAR decline, the reality is that the comparisons get more difficult and certainly as you get into the fourth quarter, you're not going to be able to duplicate the performance that we had last year. As you carry that into 2010, I think I would agree with sort of what you were suggesting, which is while we still be able to cut costs to some degree based upon if demand is lower. And you will certainly see some cost decline if revenues are lower because you would be looking at – a lot of costs are directly tied to revenues. Other than for those two reasons, I doubt that there will be lot more that we can do in 2010 portfolio-wide. Obviously the story will depend upon what happens at each individual hotel and so there will be certain examples where additional efforts may be productive. And we're certainly going to work hard to try to find them. But overall as you think about 2010, I think you're going to find that to the extent that you're anticipating a weak beginning to the year, you're probably are going to find that it's going to be difficult to achieve the same sort of margin results we have this year.
David Katz – Oppenheimer & Co.: And if I can just ask one more and I got on a few minutes late and I'll apologize if you addressed it, but I was surprised by the urban performance in the portfolio. Thinking about sort of a West Coast presence, thinking about New York and some of the other urban markets we've seen, I think inherently we were expecting urban to be among the weaker RevPAR markets in the quarter and it wasn't. It was higher end of the range, not by a lot but just worth discussing. Do you have some strategies in place there that are worth discussing?
W. Edward Walter: I think what I would say is you're clearly right that markets like New York, Boston and Chicago all suffered. And we certainly have a fairly high concentration of hotels in each of those markets. I think what benefited our portfolio on the urban side was significant concentrations in markets like Washington, D.C., which performed quite well. We also found with New Orleans and Philadelphia did much better than the average market. And so what I think you saw overall across our portfolio was that the urban numbers probably had a fairly broad range of performance, but when you total it all together, it did better than suburban resort and airport.
Operator: Our next question comes from Chris Woronka – Deutsche Bank.
Chris Woronka – Deutsche Bank: Good morning, guys. Wondering if you can maybe tell us what you're hearing from your operators about group activity for next year? And how price sensitive is it and what's the strategy in terms of maybe locking in multi years at today's lower rates versus locking in on a short term basis and floating the future years?
W. Edward Walter: I think it's hard to find a clear theme for 2010 right now. If you look at the booking pace for 2010 compared to this time last years, it's down significantly. Having said that, those numbers don't truly reflect the cancellations that occurred at the end of fourth quarter this year – the fourth quarter of last year and the first quarter of this year, and I think if you adjust for that then bookings are still down somewhat but it's nowhere near the disparity that you would look to if you just looked at the year-over-year activity. I think the theme that we've been seeing so far is that certainly groups are very focused on the rate at which they can book. Certain groups that feel like they are in a position to commit to multiple years are seeing if it's possible to negotiate a multi-year deal and get better pricing because of that. I think we are finding that a lot of groups are trying to price based on a total meeting price, where they're not just looking at what the room rate is but they're also looking at what the cost of their food and beverage and other associated services are going to be in order to try to put a little bit more pressure on those profit centers too. I think the other – we are seeing, as I mentioned in my prepared remarks, that as we look out to 2010, we've been seeing some overall increase in booking activity relative to the beginning of the year. But I would say it still feels like we're running a bit behind last year's pace at this point in time.
Chris Woronka – Deutsche Bank: And shifting gears a little bit to the asset front, I heard your prepared remarks on kind of your expectations but a 30,000 foot view, what's kind of going on out there in terms of buyers, sellers? Do you think there are more buyers in the market for hotel assets now versus maybe three months ago? And what are they doing differently now? Are we getting to levels where people can actually get leverage to make a deal pencil and is it really price that's the issue or something else?
W. Edward Walter: I think the acquisition market is very difficult to characterize right now because you're – first of all, I don't think that there's any more buyers out there than there were at the beginning of the year. And I think that while we are meeting with some success in identifying potential mortgage loans for individual assets, the reality is that that market is still relatively slow. And so the conversations we've had with buyers on some of the assets that we have been marketing, we're generally finding that their approach is to buy all cash. They may be using a credit line to facilitate their acquisition, but their basic plan is to be somewhat all cash for the first couple of years of the investment. And then expect that the market will improve later in 2010, early 2011, which will allow them to refinance. So to the extent that a buyer needs financing today in order to consummate an acquisition, I think they're finding – that group is finding it difficult to plan and to move forward and to execute. Now on the cap rate side, there's not a consistent theme across the industry in terms of where pricing is. The couple of acquisitions that have been out there and either marketed or closed as a higher price point are starting to show evidence that cap rates are falling. I think a lot of that's not surprising given the level of decline that we have seen in EBITDA and NOIs over the course of this year. And so you would sort of naturally expect that as people begin to look at pricing that is attractive on a per pound basis and represent the significant discounts or replacement costs, that they are getting more comfortable with lower cap rate. Having said that, I don't know that I would characterize that it's a broad theme, I think that the examples that are out there are somewhat anecdotal. So I suspect that what we're going to find for the rest of this year based on the conversations we've had internally is that you will continue to see more assets migrate back to lenders or potentially be headed towards lenders. You will begin to see lenders take a slightly stronger stance as they perhaps see a little bit improvement in acquisition activity, which will – that could create some additional deal flow. But I would be surprised if we saw any significant surge in activity until next year.
Operator: Your next question comes from Steve Kent – Goldman Sachs.
Steven Kent – Goldman Sachs: Hi, good morning, just two questions. One, maybe to the earlier question David asked, can you just be a little bit more specific on your cost cuts both at the property level and at the headquarters level? For example, have you shut down floors in any of you hotels? Have you shut down virtually all of your restaurants or snack bars or any of those kinds of things that maybe would give us a little bit more flavor as to how deep those cost cuts are and how much more opportunity there truly is? And then the second thing is, and maybe I misheard it in the beginning of your first comments, it sounded like you were teeing yourselves up to start to acquire hotels in 2010 and 2011, and I guess I was a little surprised by that given the problems that this industry has faced over the past two years, both balance sheet and operating, that you would be doing that rather than moving the opposite direction which is to maybe sell assets into maybe the next wave of people willing to buy.
W. Edward Walter: Let's start with the cost cutting side of that and then come to the acquisition side. Certainly there are some hotels where we have closed an entire tower for a period of time where we might have a multi-tower structure and we had found that the overall level of demand is low enough that, unfortunately, the logical thing to do is to try to shrink the hotel by closing a tower. I wouldn't say that there are many examples of that, but there certainly are a couple through the portfolio where that's proven to be a good strategy. Cutting floors is something that we would do pretty consistently whenever we start to see occupancy levels be lower in a particular hotel, especially for any sustained period of time, because it just makes it that much more efficient for us to operate the hotel. Food and beverage outlets across the board are reducing hours and whenever occupancy merits it we will try to not have the restaurant open for dinner and try to serve dinner out of the lounge or out of the bar. And I think there's probably a couple of cases where we've probably tried to just do it on room service basis too, probably on a Sunday evening or something like that. The strategy is if there's an opportunity to profitably be open then a food and beverage outlet will be open, but as to the extent that you don't see the demand within the hotel or don't see the occupancy within the hotel, you will try to avoid opening that restaurant. A big area where I think we've had some significant savings is in the manager level. If you look across our portfolio, I think we would estimate that we have 20% to 25% fewer managers at a property than we had two years ago. Another area where you've seen some savings has been in the salary area where we've postponed salary increases over the course of this year. And you've also seen some restructuring on bonus plans this year so that again, I, each – none of these steps necessarily in and of itself is hugely significant, but when you average it out across the portfolio and when you implement all of them at a particular hotel, you can have a meaningful impact. Switching over to the acquisition side, I think what we've learned over time is that the best time to be a buyer in our business is earlier in the cycle. Now, I think you're, so you – those are the opportunities to buy significant discounts to replacement costs and those are the opportunities to buy at cash flows that have the opportunity for significant increase, which ultimately, as we both know, is how we create value. So as we start to look at the world that we're facing right now, while we're certainly not through this downturn and that the recognition of that fact is important to any underwriting that we would do as it relates to acquisition, the time to be a buyer is going to be when operations are weak and when supply is declining. And when you can start to feel, as long as you start to see that the wind and the tides are changing a bit, that you're going to start to move into a better economic environment where EBITDA and RevPAR are going to begin to improve, I think that's generally when we would like to be a buyer. I don't think – you shouldn't expect that we're going to be super aggressive. We have a huge bet in this space already. We've already got a great selection of hotels, but I think it would be valuable as we, to overall shareholder value and to the value of the company, to be looking to add selectively as we work our way into next year and certainly into 2011 to add new assets.
Operator: Our next question comes from David Loeb – Robert W. Baird & Co.
David Loeb – Robert W. Baird & Co.: Just to follow up on that, when you are at a point where you look at going on offense, two questions, do you feel like you have the dry powder to do that with your balance sheet the way it is or would you look to raise more equity to do that? And would you consider buying paper as a way to get into those kinds of assets?
W. Edward Walter: David, I would say that we have a little bit of capacity on our, the way we're structured right now from a balance sheet perspective but that by and large as we've thought about when we would, how we would implement an acquisition program, I think that we would look to follow a model that's not far from what we did in 2003, '04 and '05 where we looked to fund the bulk of the acquisition activity through additional equity issuance. I wouldn't say exclusively but I think we found that that program worked well last time to both generate a creative – to both allow us to by creatively and at the same time improve the balance sheet. And I think being prudent with respect to the balance sheet in this environment would suggest it would be smart to fund the bulk of the program through equity issuance.
David Loeb – Robert W. Baird & Co.: And on the assets that you impaired, is there secured debt on any of those and particularly the one where you're looking at your strategic options? Are you, among those options are you considering giving that back to the lender?
W. Edward Walter: There's no debt on either of those assets.
David Loeb – Robert W. Baird & Co.: Okay. So those are assets. You're looking at your options but you don't have an option because there is no lender?
W. Edward Walter: Well, we have options but you're right. The one option is not to give the asset back to the lender.
David Loeb – Robert W. Baird & Co.: Right. I understand that you have other options. Okay. And, Larry, the mortgage on D.C. too, from what we can understand, was the largest hotel mortgage done this year. You sound moderately optimistic that you'll do what I'm assuming would be an even larger one on San Diego? Is that fair and can you comment on size limits in the mortgage market?
Larry K. Harvey: Well, there's definitely, when you get over $100 million there's definitely a big difference. Typically, although we are seeing certain lenders, especially on the insurance side, starting to at least put feelers out and we have a couple of term sheets. But bottom line is over $100 million there's definitely a big difference. And to get over that number you would typically need two lenders or more.
David Loeb – Robert W. Baird & Co.: Got it. Okay.
Larry K. Harvey: In the case with San Diego, that loan is somewhat complex in the loan structure. I mean, both us and MI are putting money into that into a renovation there to cover capital expenditures over the FF&E reserve and the lender wants a say in those renovations. And we're working through some of those elements. If we can reach acceptable terms we'll close the loan, but we're not going to do a bad deal so we've raised additional proceeds by upsizing our bond offering. We have a lot of assets with unsecured debt as you know, and our bonds trade in the high eights to low nines so we're very comfortable with our current liquidity situation with or without that San Diego loan.
David Loeb – Robert W. Baird & Co.: That makes sense, and I'm not sure you answered the second half of my first question, would you consider buying paper, buying mortgages as a way to get additional assets?
Larry K. Harvey: David, I think we would. We have, we frankly have been open to that for the last 12 months and a lot of, unfortunately, from that prospective, a lot of the paper that is potentially challenged is in CMBS loans and it's in broader pools and so it's more difficult to get to the paper and get to the assets than we would like. But to the extent that opportunities develop, say, with individual banks that hold first or second positions on hotels that fit certain quality spectrums that we've been interested in acquiring, then I think we would be very interested in buying the paper and in a sense approaching the acquisition or the asset through that course.
Operator: Our next question comes from Jeff Donnelly – Wells Fargo Securities.
Jeffrey Donnelly – Wells Fargo Securities: Ed, I guess for a moment if we could just sort of ignore the realities of the current market and as you look forward to, say, 2011 and beyond, how you think you'd like to be positioned for that environment, are there any, I guess, geographic or brand or segment changes that you could see yourself moving around a little bit, either folks you want to gain exposure to or markets you'd like to shed exposure to?
W. Edward Walter: Probably are some changes. I think from a brand side we like the brands that we're working with today and I think that we would certainly feel comfortable in expanding our ownership with any of the brands that we're doing business with today. From a market perspective one of the things that we're trying to do is to really to go back through again and evaluate which of the markets out there do we think has the most potential over the next 10 years. And which of the markets that we think probably don't have that type of a potential. And I think you'll probably to see if I were to go beyond just 2011, and think about 2012 and '13 and '14 to go a little more of a strategic context instead of tactical. You would probably find that over that period of time we are in fewer markets than we are in today. But we are probably in the markets that we like in a bigger way. We don't have a firm list yet of exactly how that plays out. I think that certainly there's some markets like Washington and San Francisco and San Diego that would continue to be high on our list and would be markets we'd be interested in looking in today. I think there are some markets in the Southwest that in Texas that we long term continue to be worried about the supply and not certain that the demand growth is going to be there. And those might be markets that we would tend to own less in overt time.
Jeffrey Donnelly – Wells Fargo Securities: Is it plausible that in that example you look for in say four to five years that overall Host on net a smaller, call it a smaller company but as you said sort of more dominant in certain markets and maybe your brand profile widens you hypothetically you provide liquidity to folks like Hilton or other private entities?
W. Edward Walter: I certainly could see that our brand profile could widen and because Hilton is certainly someone that we would expect that at some point in time here will be disposing of assets. But we'd certainly like to think we'd be considered as an option when they go to do that. Now we also don't have a lot with Intercon, other than one property in Europe, and I think that's another brand that you could theoretically get exposure to, too. It's not inconceivable that we would be smaller in the future. It might be more in the number of hotels. I tend to think at the end of the day because we are optimistic about the opportunity that's facing us, that we would probably end up being more of a net acquired over the next several years as opposed to a net seller. But in the context of doing that we probably would be doing larger hotels and selling smaller ones. So the number of hotels we control in four or five years might be smaller, but I suspect the overall value of the company would still be larger.
Jeffrey Donnelly – Wells Fargo Securities: Then just switching gears back to the current environment, in your remarks you indicated the rate of decline you're seeing. I guess from a demand perspective, I guess would be decelerating, but because your reducing your 2009 RevPAR outlook pretty meaningfully when you consider we're about half way through the year and the results thus far have been roughly in line with your expectations. The implication is that despite, I guess what people believe to be easier these revenue comps ahead for your full year guidance doesn't really reflect I guess I would say that less bad outlook for the top line. Is that – I guess am I reading that right?
W. Edward Walter: At the low end of what we suggested for guidance you probably have it correctly. If you look at and to maybe elaborate on our prepared remarks, the bottom line was that rate was weaker in the second quarter is much less than we expected and occupancy was a little bit better as we see that play out in the third and fourth quarter. While we hope that the sort of positive development in our last month or last period of operations, which did come in better than the prior month and came in better than where the second quarter was, we hope that trend continues. Our general sense of what's likely to happen in the third quarter, pre-seeing those numbers yesterday was that the second to the third quarter would generally match up with the second quarter. I think that there is some chance now that that turns out to be a little bit better. We would still expect the fourth quarter to be better. I think that is probably solely because the easier comp that the fourth quarter presents when you compare back to 2008. We've said for awhile that we generally thought if you looked over a two-year timeframe that the fourth quarter has the potential to be the weakest quarter of the year. Thinking back to kind of comparing to '07, and I still think that that's probably about right. But I think if you look at the RevPAR range that we've suggested for the full year it tends suggests that the second half of the year somewhere between 17$ and 20% decline in RevPAR. Obviously at the better end of that that would be a meaningful improvement over where we finished in the first half of the year. At the lower end of that it's flat and a couple tenths worse.
Jeffrey Donnelly – Wells Fargo Securities: I guess just one last question. I apologize if I missed this in your remarks, but the per key pricing on the assets that you sold was fairly low and that might just be the realities of the sort of larger full service hotels in the more suburban locations. Can you maybe walk us through what the '09 budgeted EBDITA was there and maybe what your three or five-year capital plan looks like for those assets, so we can kind of see – or better understand the pricing?
W. Edward Walter: Maybe another way to put that is that the pricing for the assets kind of fell. It was not necessarily super tight but if you take the three assets and combine them what you would find is that the cap rate was in the mid 7's. If you look at the CapEx plan I'd probably say I think the average – there's probably another 15,000 to 20,000 per key worth of CapEx that was required for those hotels over the next two or three years. And so as we think if you add that into the equation you're looking at a cap rate that starts to approach the low sixes. Maybe that gives you a few metrics to try to evaluate that. In terms of those, the significance of those assets to our portfolio, these are assets that we had previously identified that we didn't see growth prospects that matched up with what we expected for our overall portfolio. You know two cases you're talking about a suburban asset that's getting a little bit older and we just didn't see that it was going to perform that well going forward especially with the CapEx requirements. And in one other case the hotel was in a smaller town in Stamford but again, as we looked at the outlook for that particular asset we were not that optimistic.
Operator: Our next question comes from Joseph Greff – JP Morgan.
Joseph Greff – JP Morgan: Most of my questions have been asked and answered. But I do have one operating expense, cost control related question and it's if we assume next year that occupancy can be flat how much control do you have over property level expenses? Can you hold that flat?
W. Edward Walter: I think I would say not. I think the problem you're going to run into, I mean it probably stems a little bit on inflation, and I think that some of the estimates on inflation at this point in time are fairly diverse. But if occupancy stays flat, unless we were to see a remarkable savings in utility expense or some line item like that, the reality is that with the changes that we've made already I think it's hard to think there's a lot more cost that could come out of that system. You're going to face in some markets, whether it's because of union contracts in our hotels or union contracts in other hotels, you're going to at least modest pay increases at the hourly level. I think that whether there will be any at the manager and the senior manager level it's still up for debate at this point in time. But I don't think you're going to be able to get any more cuts in that area. So by and large I would say that it would be in that scenario it would be hard to think that expenses would be flat.
Operator: Our next question comes from Ryan Meliker – Morgan Stanley.
Ryan Meliker – Morgan Stanley: I was wondering if you could provide any type of update or more detail in terms of where group pace is relative to last year? I think last quarter you had said it was down 19%. I wanted to see how much that had changed understanding that the cancellations can have a material impact on what the actual results will be. The other question I had was I was just hoping that you could speak a little bit about your dividend. Obviously you reduced the guidance from the dividend from the last time you gave it from about $0.30 down to $0.20 or $0.23 and a large portion in stock. I was hoping you could talk about why you made the reduction in terms of your guidance and also your thoughts on the stock portion, especially given that your balance sheet and liquidities seem relatively strong and you're potentially in the market for acquisitions?
W. Edward Walter: As it relates to the group pay side what I would say to you is that the quarter that we're facing right now we're probably looking at being down about 20%. So the third quarter would be down about 20. The booking pace for the fourth quarter is about the same, but the booking pace right now has not really started to capture the effect of the cancellations that we experienced as we worked our way through the summer of 2008 and certainly into the fourth quarter 2009. So our overall group room nights in Q4 of 2009 were down about 6%. So you could probably make that as an adjustment to the down 20, 21 that we're facing right now in terms of group booking pace in the fourth quarter and get to an adjusted call it 15% plus or minus that we're behind in group bookings for the fourth quarter. As it relates to the dividend, we spent a fair amount of time thinking about that. First of all, the reason why it's down a bit from what we had previously indicated is probably two reasons. The bulk of it is the equity issuance that we did earlier this year which resulted in – since we were dividending out a certain amount of taxable income. If you dividend that, if you allocate that over more shares you're going to see the amount per share decline. I think there might have been a modest reduction in our overall level of taxable income which would have been the other reason that we would have seen the dividend shrink a little bit. As it relates to the issue of cash versus the planned cash and stock dividend, while we certainly understand the importance of a cash dividend I think it – while we are still in what's still a fairly challenging operating environment and a challenging liquidity environment despite the fact that we feel really comfortable with the liquidity position we're in, the bottom line is by handling the dividend this way we can save another $100 million plus in cash and I think at this time that that's the most prudent step for us to take. So that's why we decided to handle it that way.
Operator: Our last question comes from Bill Grant – Morgan Stanley.
Bill Grant – Morgan Stanley: Just a quick question on something I heard in prepared remarks. You'd mentioned there was an asset that you recorded an impairment charge on. It was located in a market that was significantly impacted by the recession, severely affecting your outlook for short-term and long-term demand. And so the sale of the asset made the most sense and that all makes sense. I was wondering my question specifically is what is it about this asset and this market that is different than your core portfolio where you're anticipating a better outlook for the recovery of lodging demand once the economy recovers?
Larry K. Harvey: We don't want to get too specific with the asset because again, looking at our options but the bottom line is it has been significantly affected by the current recession as well as it's a market that has been challenged over the last few years because of changes in the industries that are there and the sizes of those companies.
W. Edward Walter: Part of what's happening in this particular case which is why this particular asset gets called out and would be distinct from what we've been running into in a number of other hotels is at this point we are losing money at this particular hotel. And so as a result of that it sort of forces perhaps a more cautious expectation with respect to what is going to happen with the hotel. As we think about this particular market which is in one of the more hard hit markets across the U.S. and think about what we're going to do with the asset, we just don't see an expectation that we would hold the asset for a longer period of time which would then allow the value to recover to the original investment. I think it's an unusual set of circumstances that leads to this conclusion. It's not something that we would expect to see in more than a couple of other assets in our portfolio even thinking out over through the next several years. But in this particular case when you just went through all these steps that you're supposed to go through as part of your regular impairment analysis, the fact that we really just did see this as a long term hold under any circumstance drove us to the correct accounting conclusion that we needed to take an impairment.
Operator: And that does conclude our question and answer session for today. I will now turn the call back over to Mr. Walter for closing remarks.
W. Edward Walter: Great, well, thank you, for joining us for this call today. We appreciated the opportunity to discuss our second quarter results and outlook with you. We look forward to providing you with more insights with what will be left for 2009 in our third quarter call in October. Have a great remainder of your week.
Operator: Once again, that does conclude our conference for today. Thank you again for your participation.